Operator: Good morning. My name is Pia, and I will be your conference operator today. At this time, I would like to welcome everyone to the Dollar General Second Quarter 2019 Earnings Call. Today is Thursday, August 29, 2019. [Operator Instructions]
 This call is being recorded. Instructions for listening to the replay of the call are available in the company's earnings press release issued this morning.
 Now I would like to turn the conference over to Mr. Donny Lau, Vice President of Strategy and Corporate Development and the interim Head of Investor Relations. Mr. Lau, you may begin your conference. 
Donny Lau: Thank you, Pia, and good morning, everyone. On the call with me today are Todd Vasos, our CEO; and John Garratt, our CFO. Our earnings release issued today can be found on our website at investor.dollargeneral.com under News & Events.
 Let me caution you that today's comments will include forward-looking statements about our strategies, plans, goals or beliefs about future matters, including, but not limited to, our fiscal 2019 financial guidance and real estate plans. Forward-looking statements can be identified because they are limited to statements of historical fact or use words such as may, will, should, could, would, can, believe, anticipate, expect, assume, intend, outlook, estimate, guidance, plan, opportunity, long term, potential or goal and similar expressions. These statements are subject to risks and uncertainties that could cause actual results or events to differ materially from our expectations and projections, including, but not limited to, those identified in our earnings release issued this morning under Risk Factors in our 2018 Form 10-K filed on March 22, 2019, and in the comments that are made on this call. We encourage you to read these documents. 
 You should not unduly rely on forward-looking statements, which speak only as of today's date. Dollar General disclaims any obligation to update or revise any information discussed on this call, unless required by law.
 During today's call, we also will reference certain financial measures not derived in accordance with U.S. generally accepted accounting principles, or GAAP. Reconciliations to the most comparable GAAP measures are included in this morning's earnings release, which, as I mentioned, is posted on investor.dollargeneral.com under News & Events. 
 At the end of our prepared remarks, we will open the call up for your questions. [Operator Instructions]
 Now it is my pleasure to turn the call over to Todd. 
Todd Vasos: Thank you, Donny, and welcome to everyone joining our call. We are pleased with our second quarter results driven by strong performance on both the top and bottom lines. The quarter was highlighted by same-store sales growth of 4%, including an increase in average basket size and another quarter of meaningful traffic growth. Our results this quarter were fueled by solid execution across many fronts, including category management, merchandise innovation, store operations and continued progress with our strategic initiatives. In addition, we remain focused on disciplined cost control which resulted in another quarter of solid earnings growth. 
 Notably, our second quarter comp performance represents an increase of 7.7% on a 2-year stack basis, which is the highest in 23 quarters and speaks to the underlying strength of the business. Given our first half performance and expectations for the remainder of the year, we are updating our guidance for fiscal 2019. John will provide those details during his remark. In short, we are executing well against both our operating and strategic priorities and believe we are well positioned to drive continued growth as we move forward. 
 Now let's recap some of the top line results for the second quarter. Net sales increased 4 point -- or 8.4%, excuse me, to $7.0 billion compared to net sales of $6.4 billion in the second quarter of 2018. We are particularly pleased with the continued strong performance of our new stores and sustained positive sales momentum in our mature store base. Once again, this quarter, our highly consumable market share trends in syndicated data continued to exhibit strength with mid- to high single-digit share growth in both units and dollars over the 4-, 12-, 24- and 52-week periods ending July 27, 2019. 
 Our same-store sales increase during the quarter was driven by strong performance in both consumables and nonconsumables sales. Our nonconsumable sales growth was driven by positive results in seasonal and in home. These quarterly results further validate the belief that our focus on our operating priorities is working and that we are pursuing the right strategies to create meaningful long-term shareholder value. We continue to believe we operate in one of the most attractive sectors in retail and are advancing our goal of further differentiating the Dollar General business from the rest of discount retail landscape.
 Before I turn the call over to John, I'd like to take the opportunity to congratulate Jeff Owen on his recent promotion to Chief Operating Officer. As was announced this morning, Jeff is assuming the responsibility for store operations, merchandising and supply chain. As a large and growing retailer, we believe this alignment further strengthens the company and positions us well for continued future growth. 
 Jeff has served as our EVP of Store Operations since 2015. During his time in that role, Dollar General added more than 3,500 stores and increased sales by over 35%. Prior to serving as EVP, Jeff spent more than 20 years with this company in increasing roles of responsibility, beginning with us as a store manager and eventually rising to SVP of Store Operations. I'd also like to congratulate Steve Sunderland on his promotion to EVP of Store Operations, where he will oversee operations of our nearly 16,000 stores across the country. Steve joined Dollar General team in 2014 as SVP of Store Operations, where he has led approximately 8,000 stores and nearly 70,000 employees. Steve brings more than 30 years of retail operations experience to the role, and I know our teams value his leadership. 
 I'm very proud of both Jeff and Steve and grateful for all they have done for this company. I am confident they are the right leaders for these positions, and I look forward to working with them in their new roles as we continue to drive long-term growth at Dollar General. 
 With that, I'll now turn the call over to John. 
John Garratt: Thank you, Todd, and good morning, everyone. Now that Todd has taken us through a few highlights of the quarter, let me take you through some of the important financial details of the second quarter. Unless I specifically note otherwise, all comparisons are year-over-year. 
 As Todd already discussed sales, I will start with gross profit. Gross profit as a percentage of sales was 30.8% in the second quarter, an increase of 13 basis points. This increase was primarily attributable to a reduction in markdowns as a percentage of net sales and higher initial markups on inventory purchases. These factors were partially offset by higher shrink, increased distribution costs, a greater proportion of sales coming from the consumables category and sales of lower-margin products comprising a higher proportion of sales within the consumables category. We benefited this quarter from a reduction -- continued reduction in promotional markdown activity following targeted increase during the fourth quarter of 2018. 
 We continue to believe these targeted actions drove loyalty and contributed to additional share gains as evidenced by our strong sales results during the first half of 2019. 
 SG&A as a percent of sales was 22.5%, an increase of 32 basis points. This increase was driven by expenses of $31 million or 44 basis points in the quarter relating to significant legal matters. Excluding these Significant Legal Expenses, we leveraged SG&A expense with adjusted SG&A as a percent of sales of 22.1% or a decrease of 12 basis points. These results also reflect an increase in expenses for store supplies and were partially offset by lower utilities costs as a percent of sales and reductions in benefits costs and workers' compensation and general liability expenses. 
 As previously discussed, we are investing in our 4 strategic initiatives this year. I'm pleased to report that we're making great progress on each, and we remain excited about the long-term transformative potential of these initiatives. Year-to-date through the second quarter, we have invested $19 million in SG&A expense attributable to our strategic initiatives. We continue to believe these investments position us well to deliver meaningful benefits to the business over both the intermediate and longer term. 
 Moving down the income statement. Operating profit for the second quarter increased 5.9% to $578 million compared to $545 million in the second quarter of 2018. Adjusted operating profit for the second quarter, which excludes the legal expenses I mentioned earlier, increased 11.6% to $609 million compared to $545 million in the prior year period. 
 Our effective tax rate for the quarter was 22.9% and compares to 21.5% in the second quarter last year. Diluted earnings per share for the second quarter increased 8.6% to $1.65. Adjusted diluted earnings per share for the second quarter, which excludes the after-tax impact of the previously mentioned legal expenses, increased 14.5% to $1.74. Overall, we are pleased with the balanced performance the team delivered during the quarter, resulting in strong profit growth. 
 Turning now to our balance sheet, which remains strong. Merchandise inventories were $4.4 billion at the end of the second quarter, up 13.4% overall and an increase of 7.5% on a per-store basis. As previously discussed, we implemented a change to our inventory replenishment process in the first quarter which is enabling us to support even higher levels of on-shelf availability. And while as anticipated, this change is resulting in higher inventory levels overall, we continue to believe this change better positions us to support and drive continued sales growth. 
 In addition to our inventory replenishment efforts, we are implementing enhanced processes focused on improving the in-stock performance in stores that do not meet our standards. I'm pleased to report our efforts drove a 20% improvement in on-shelf availability in targeted stores during the quarter, and we believe we can continue to drive improvements in this area as we move ahead. 
 Overall, we continue to believe our inventory is in great shape and remain focused over time on driving inventory growth that is in line with or below our sales growth.
 Year-to-date through the second quarter, we generated significant cash flow from operations totaling $1.1 billion. Total capital expenditures through the first half of 2019 were $293 million and included planned investments in new stores, remodels and relocations, continued investments and construction of our Amsterdam, New York distribution center and spending related to our strategic initiatives. 
 During the quarter, we repurchased 1.4 million shares of our common stock for $185 million and paid a quarterly dividend of $0.32 per common share outstanding at a total cost of $82 million. At the end of the second quarter, the remaining repurchase authorization was $961 million. Our capital allocation priorities continue to serve us well and remain unchanged. Our first priority is investing in high-return growth opportunities, including new store expansion and infrastructure to support future growth. 
 We also remain committed to returning significant cash to shareholders through anticipated share repurchases and quarterly dividend payments, all while maintaining our current investment-grade credit rating and managing to a leverage ratio of approximately 3x adjusted debt to EBITDA. 
 I'll close with an update on our annual guidance for fiscal year 2019. As you know, upon its effective date, the proposed List 4 tariff recently published by the U.S. Trade Representative will expand the list of products that are currently subject to tariffs at a now expected rate of 15%. In addition, tariff rates on Lists 1 through 3 are expected to increase to 30%, up from 25%, effective October 1. 
 Over the past several quarters, our teams have been diligently working to mitigate the impact of tariffs on our customers and our business. As a reminder, our efforts are focused on 4 key areas: continual negotiations with our vendors, product substitutions, product reengineering and country of origin diversification. We intend to continue these efforts to do all we can to minimize the impact to our customers and remain focused on our everyday low-price strategy to provide our customers with the value they need and have come to expect from Dollar General. 
 Now as you may recall, the anticipated impact of the May 10 tariff rate increase was included in our prior full year guidance, which we provided on May 30. Our updated guidance today reflects the anticipated impact of the expected tariff rate increase on Lists 1 through 3, the proposed List 4 tariffs and tariffs previously implemented. Despite these incremental headwinds, we are raising our full year financial guidance primarily as a result of our strong first half performance. 
 For fiscal year 2019, we now expect net sales growth of approximately 8% and same-store sales growth to be in the low to mid-3% range. We are increasing our expectations for operating profit growth to approximately 5% to 7% and expect adjusted operating profit growth of approximately 6% to 8%. And we are raising our outlook for diluted earnings per share to the range of $6.36 to $6.51 or adjusted diluted EPS of $6.45 to $6.60. 
 Our adjusted operating profit growth and adjusted diluted EPS guidance exclude the impact of legal expenses I noted earlier. Both our GAAP and adjusted EPS guidance assumes an estimated effective annual tax rate of approximately 22% to 22.5%. Finally, our fiscal year 2019 outlook for real estate projects, capital spending and share repurchases remains unchanged. 
 Let me now provide some additional context on our current expectations. First, our guidance does not contemplate additional tariff increases in tariff rates or the expansion of products subject to tariffs beyond those which are either currently in effect, included in the List 4 proposal or incorporated in the expected 5% tariff rate increase on Lists 1 through 3. Additionally, it does not reflect any tariff-related impacts to broader consumer spending. 
 With regards to gross margin, we now expect our rate improvement for the second half to be roughly in line with Q2 when compared on a year-over-year basis. Relative to our previous expectation of quarterly improvements in the gross margin rate year-over-year comparison throughout the year, our revised outlook is primarily driven by our strong Q2 performance as well as the anticipated impact of both the List 4 tariff proposal and the expected tariff rate increase on Lists 1 through 3. 
 In terms of SG&A, we now expect to invest approximately $55 million on our strategic initiative this fiscal year, the majority of which will be on our DG Fresh and Fast Track initiatives. We continue to expect this spending will increase sequentially through the third and fourth quarters.
 In summary, I am pleased with our first half results and excited about what's still to come as we look at the back half of the year. As always, we continue to be disciplined in how we manage expenses and capital with the goal of delivering consistent, strong financial performance while strategically investing in initiatives for longer-term growth. 
 We remain confident in our business model and our ongoing financial goals to drive profitable same-store sales growth, healthy new store returns, strong operating cash flow and long-term shareholder value. 
 With that, I will turn the call back over to Todd. 
Todd Vasos: Thank you, John. As I've shared with you over the past several quarters, we're investing in and building momentum behind certain strategic initiatives that we believe will drive strong sales and profit growth in the years ahead. I want to take the next few minutes to update you on the progress we are making.
 Starting with our Nonconsumable Initiative, or NCI. In 2018, we launched a new and expanded assortment in key nonconsumable categories, including home, domestics, housewares, party and occasion. I'm pleased to report that the NCI offering continues to resonate with customers as evidenced by strong sales performance across our enhanced product categories. Importantly, this performance is contributing to improvements in both sales and gross margin rate in these stores. 
 In addition to higher nonconsumable sales, we are also seeing a positive halo effect in consumable sales. Overall, remodels that include NCI delivered greater sales lift and improved gross margin rates compared to traditional remodels. These results reinforce our belief that NCI can be meaningful to our sales line and a margin driver as we move ahead. The NCI offering was available in more than 1,500 stores at the end of the second quarter, and we plan to expand the offering to a total of approximately 2,400 stores by the end of 2019. And while the NCI store count is still relatively small compared to our overall store base, we are realizing additional benefits by leveraging learnings from these stores. Specifically, we are incorporating select NCI products throughout the broader store base, resulting in positive sales and margin contributions across the entire chain.
 Turning now to DG Fresh, which we introduced earlier this year. As a reminder, DG Fresh is a strategic, multiphase shift to self-distribution of frozen and refrigerated goods such as dairy, deli and frozen products. This assortment currently represents approximately 8% of our total sales. 
 The primary objective of DG Fresh is to reduce product costs on our frozen and refrigerated items, thereby enhancing gross margin. And while still early, we are very pleased with the progress and gross margin improvements we are seeing. 
 Two other important goals of DG Fresh are to drive on-time delivery and higher in-stock levels. For example, we have historically seen about a 10-point gap in in-stock levels between our dry goods and our fresh products. We believe we can close the gap with DG Fresh, which is
 [Audio Gap] 
Operator: Ladies and gentlemen, please standby.
 [Technical Difficulty] 
Todd Vasos: Okay. And I apologize, we dropped the line somehow.
 I'll start back with 2 other important goals for DG Fresh are to drive on-time delivery and higher in-stock levels. For example, we have historically seen about a 10-point gap in our in-stock levels between our dry goods and our fresh products. We believe we can close the gap with DG Fresh, which is supported by results in our early phases of the rollout. 
 In addition to gross margin and in-stock benefits, DG Fresh will eventually allow us to control our own destiny on assortment in these categories. This could include a wider selection of both national and private brands as well as an enhanced offering for our Better For You items. And while produce is not included in our initial rollout plans, we believe DG Fresh could provide a potential path forward to expanding our produce offerings to more stores in the future. 
 We began shipping from our first DG Fresh facility in Pottsville, Pennsylvania in January and are now shipping from 2 additional DG Fresh facilities in Clayton, North Carolina; and Atlanta, Georgia. I'm also pleased to report that our fourth DG Fresh facility in Westville, Indiana is scheduled to begin shipping in the next few weeks. 
 In total, we are now self-distributing to more than 3,500 stores, an increase of approximately 2,700 stores from the end of Q1. And with an anticipated opening of our fourth facility, we remain on track to capture benefits from DG Fresh in approximately 5,000 stores by year-end. 
 In short, we are very excited about the early results we are seeing from this initiative as well as the long-term potential benefits it can deliver for our customers and our business. We continue to believe it can be as -- accretive as early as 2020.
 With respect to our digital initiative, our efforts remain focused on deploying technology to further complement the customer in-store experience. In turn, we believe digital can drive additional traffic as well as increase in basket size. In fact, our digitally engaged customers check out with average baskets twice as large as the company average. Our digital efforts continue to be based on the needs of our core customer. Most recently, we introduced a new shopping list feature, representing yet another enhancement to our Dollar General mobile app. This tool not only allows customers to build and save shopping lists but makes it even easier for them to save money through digital coupon, push notifications and comparable private brand product suggestions. 
 We also continue to innovate within our DG GO! app. As a reminder, this app allows customers to use their phone to scan items as they shop; see a running total of the items in their basket, using our Cart Calculator tool; and then skip the line by using DG GO! checkout, which is currently available in more than 250 stores. We plan to consolidate DG GO! into one primary Dollar General app in Q3 of 2019, furthering our efforts of delivering an even more frictionless shopping experience to our customers. 
 We have previously noted that our customers are using Cart Calculator functionality frequently as a budgeting and optimization tool, even when they're not using DG GO! to checkout. Based on this insight, we have made Cart Calculator available in approximately 12,000 stores as we continue to leverage customer insights and innovation to deliver on our customers' needs.
 Looking ahead, we remain focused on leveraging our current digital infrastructure and Dollar General app to further enhance our value and convenient proposition for our consumers. Our plans include a pilot of [ DG Pickup ] in the second half, which is our buy online, pick up in-store offering, and we are excited about the additional opportunities that lie ahead. Our digital efforts will continue to be tailored specifically to the Dollar General customer and are an important component of our long-term growth strategy. 
 Moving now to an update on Fast Track. As a reminder, Fast Track is centered on increasing labor productivity in our stores, enhancing customer convenience and further improving on-shelf availability. There are 2 key components to Fast Track. First is streamlining the stocking process in our stores through rolltainer optimization and with even more shelf-ready packaging. These efforts should reduce the amount of time spent stocking shelves during the truck unloading and restocking process throughout the week. 
 We continue to make good progress with incorporating more shelf-ready packaging, and I'm pleased to note that we are well ahead of schedule with our rolltainer optimization efforts. In fact, we have completed sorting 1/2 of our distribution centers and are encouraged by the early results, including positive feedback from our store teams. Our goal is to complete the resorting process in all remaining distribution centers by year's end. 
 The second key component of Fast Track is self-checkout, which we believe can further improve speed of checkout while also reducing the amount of labor hours needed in stores for this activity. Our goal remains to pilot self-checkout in select stores in the back half of this year. Overall, we are making great progress on our strategic initiatives, enabled through focused and disciplined execution. We believe we are an innovative leader in our channel, and we are well positioned to capture market share in a changing retail environment. 
 Along with our strategic initiatives, we remain committed to our 4 operating priorities. Let us take the last few minutes to update you on a few of those efforts. Our first operating priority is to drive profitable sales growth. The team has developed a comprehensive plan to drive continued growth with several ongoing initiatives. Let me quickly highlight just a few. 
 Starting with our cooler door expansion program, which continues to be our most impactful merchandising initiative. We began our cooler expansion efforts in earnest in 2013 and believe we continue to have ample runway with this important program. During the first half, we added more than 20,000 cooler doors across the store base. In total, we expect to install over 40,000 cooler doors this year as we continue to build on our multiyear track record of growth in cooler doors and associated sales. 
 In addition to being a great sales and traffic driver, the expansion of our cooler door footprint over the years has provided the scale necessary to enable DG Fresh. Importantly, our DG Fresh learnings and success to date, we are increasing the capacity of our cooler doors. More specifically, we have recently begun incorporating higher-capacity coolers into our real estate program. These coolers provide over 45% more holding capacity than traditional coolers which will allow us to expand our assortment offerings by approximately 25%, creating additional opportunities to drive higher on-shelf availability and deliver a wider product selection. Going forward, these higher-capacity coolers will be included in the majority of all new remodel, relocated stores and new stores. We believe these efforts better position us to capture additional sales opportunities as we move ahead, including those associated with DG Fresh. 
 Turning now to our private brands, which continues to be an important area of focus for us. Our goal is to drive overall category awareness and adoption with our customers through improved and more impactful displays, consistent messaging in-store as well as across print and digital media and enhanced quality perception. 
 I'm pleased with our continued progress across these fronts, which contributed to our strong second quarter performance. Our Good & Smart brand is especially popular with our customers and remains an important part of our Better For You offering. As a reminder, this product line provides customers with a variety of Better For You options at low prices and is now available in approximately 3,900 stores with plans for further expansion as we move forward. Another key contributor to our growing private brand popularity is Believe, our new and aspirational cosmetic line. With all items priced at $5 and below, the quality and value perception associated with this brand is generating tremendous buzz, and we are pleased with the early results. 
 We are also seeing positive results from our recent rebranding efforts with our Studio Selection line within the health and beauty category, and we believe customers will be equally responsive to our most recent rebrand, Gentle Steps, which is our new baby products line. Overall, private brands remain an important part of our ongoing strategy to drive profitable sales growth, and we are excited by the momentum we are seeing across our portfolio. 
 Finally, I want to touch on our recent partnerships with Western Union and FedEx. Western Union is now available chain-wide, offering our customers the ability to send and receive cash in nearly 16,000 convenient Dollar General locations. Building on the Western Union service is our recent partnership with FedEx which we announced during Q2. This partnership will provide our customers with convenient access to FedEx pickup and drop-off services at their local Dollar General store. We plan to roll out this service to over 1,500 locations in Q3, expanding to a total of more than 8,000 stores by the end of 2020, further advancing our long track record of serving rural communities. 
 By further enhancing our convenient proposition with new services that our customers want, we believe both offerings can become traffic drivers over time. As you hear from us often, the customer is at the center of everything we do. These are great examples of being able to further leverage our unique real estate footprint to increase access to the solutions our customers want and the communities we call home. 
 Beyond these sales-driving initiatives, we are continuing our efforts to enhance gross margin. In addition to the gross margin benefits associated with NCI, DG Fresh and private brand efforts, reducing shrink remains an important opportunity for us. We rolled out approximately 2,000 additional Electronic Article Surveillance units in the second quarter, bringing the total number of stores with EAS to approximately 12,600. Given the success we continue to see with this program, we are accelerating our efforts. In fact, we now expect to incorporate EAS in all stores by year's end, which represents an increase of about 6,000 units compared to our previously target of approximately 3,000 units for the year. 
 We also continue to pursue distribution and transportation efficiencies to support our profitable sales growth. Reducing stem miles is an important contributor to these efforts, and the successful opening of our Longview distribution center earlier this year is expected to drive additional efficiencies as we move ahead. In addition, the construction of our distribution center in Amsterdam, New York is progressing nicely, and we anticipate it will begin shipping later this year. 
 We are also accelerating the expansion of our private fleet, which now intend to add more than 100 tractors this year, up from our previous goal of 75 tractors, bringing our total overall fleet to approximately 300 units by year's end. 
 Finally, while tariff impact mitigation is at the forefront of our global merchandising efforts, as we noted earlier, foreign sourcing remains a long-term gross margin opportunity. Our goals include increasing penetration as well as diversifying countries from which we source. In fact, we have already reduced our sourcing exposure to China this year alone by approximately 7%, and we continue to lay the foundation for ongoing success in these efforts.
 Our second priority is catching growth opportunities. Our best-in-class real estate team continues to deliver strong results, and our proven high-return, low-risk model for real estate growth continues to be a core strength of the business. Our real estate model continues to focus on 5 metrics that have served us well in evaluating thousands of new stores in recent years. These metrics include new store productivity, actual sales performance, rate of return, cannibalization and the payback period. Each of these metrics continue to meet or exceed our expectations, reinforcing our belief that new store growth is the best use of our capital. 
 In addition to new store growth, our remodel and relocation program continues to be an important part of our real estate strategy. This year, we plan to open 975 new stores, remodel 1,000 of our mature stores and relocate approximately 100 units. We remain on track to achieve these goals by the end of the year. 
 During the first half, we opened 489 new stores; remodeled 653 stores, including 254 stores in the Dollar General Traditional Plus, or DGTP; remodeled and relocated 46 stores. We also added produce in 64 stores, bringing the total number of stores which carry produce to approximately 550. 
 As a reminder, a traditional remodel delivers a 4% to 5% comp lift on average. This compares to an average of 10% to 15% comp lift for a DGTP remodel, which is a traditional store format with expanded cooler count. And when we are able to add produce to a DGTP remodel, it delivers comps at the higher end of the 10% to 15% range. Overall, our real estate pipeline remains robust, and we are excited about the continued growth opportunities ahead. 
 Our third operating priority is to leverage and reinforce our position as a low-cost operator. A cost-control mindset is pervasive throughout the organization, and it is an important part of our culture. We have a clear and defined process to control spending which governs our disciplined approach to spending decisions. We continue to focus our efforts on reducing existing costs where possible through a zero-based budgeting process. I'm pleased with the team's efforts this quarter which helped to mitigate the impact of the investments made in our strategic initiatives and contributed to the leverage in adjusted SG&A expense that John noted earlier. 
 In addition to generating significant cost savings to date, this process also produced other meaningful initiatives, including Fast Track, which we believe can significantly reduce costs over time as well as our recent partnerships with Western Union and FedEx and the income associated with these service offerings. 
 Our fourth operating priority is to invest in our people as we believe they are a competitive advantage. As a growing retailer, we continue to create new jobs in the communities we call home. And for those associates already on the team, this growth is generating many opportunities for career advancement. In fact, more than 12,000 of our current store managers are internal promotes, and we continue to innovate on the development opportunities we can offer our teams, including continued expansion of our private fleet and those associated with DG Fresh. 
 We believe our continued engagement with our employees is the most effective way to understand how we can continue to support them. Importantly, our strong employee engagement metrics continue to demonstrate the effectiveness of this approach. In addition, we analyze a variety of metrics to ensure we remain positioned to attract and retain talent. These metrics include store manager turnover, which continues to trend better than last year's all-time record low. We also continue to be pleased with our applicant flows and time-to-fill open positions, reaffirming our belief we continue to be an employer of choice in the communities we serve. 
 We held our annual leadership meeting in Nashville last week, and I was once again amazed by the energy and dedication on display from more than 1,500 leaders of our company from across the country. Our time together each year reinforces for me how powerfully the Serving Others culture is ingrained in our people. 
 In closing, we are excited about our strong position midway through the year. Our first half results demonstrate strong execution across a variety of fronts, and I am proud of the team's performance. We have many exciting projects and initiatives underway to continue driving strong growth through the rest of 2019 and over the long term. As a mature retailer in growth mode, we believe we are uniquely positioned to continue delivering value and convenience to our customers and long-term value for our shareholders. 
 I want to offer my sincere thanks to each of our approximately 141,000 employees across the company for their commitment to serving our customers and communities, and I look forward to working together to deliver a strong second half.
 With that, operator, we would now like to open the lines for questions. 
Operator: [Operator Instructions] The first question will come from Michael Lasser with UBS. 
Michael Lasser: Between you and your Dollar Store multi-price point competitor, you posted some of the best comps we've seen in a while, particularly on a multiyear stack basis. So, Todd, do you think that this is the right economy for your model? Or is what you're experiencing just more a function of all the various initiatives that you have in place right now like improving on-shelf availability by 20%? 
Todd Vasos: Yes. Michael, we have said for many, many years and we continue to believe that this model works great in good times and in not-so-good times or even bad times. I tell you the success that we're seeing is really -- and I'm really proud of the teams from our merchandising, to operations, the supply chain teams to delivering on both our shorter-term initiatives and our longer-term strategic initiatives. 
 I would tell you we continue to see a bright future and runway ahead of us on our top line, and we will continue to execute -- and which is one of our strengths to execute at a high level these initiatives. We believe we've got the right initiatives to drive sales into the future. 
Michael Lasser: And would that mean that, Todd, your implied guidance for the back half does look like it -- with just the comps, will slow a little bit? Is that based on what you're seeing now? Or is there any other factor that would drive a slowdown in the business? 
John Garratt: Mike, this is John. I'll tell you that we feel great about the business fundamentals and the continued profitable sales growth we delivered in Q2. We raised our outlook based on the strong year-to-date performance, but there's a lot of year left. There's tougher half -- there's tougher laps in the back half, and there's some uncertainty around the macro environment, but we feel comfortable with the guidance provided and feel great about the way the business is performing. 
Todd Vasos: And also, Michael, just remember, we've got 6 less selling days between Thanksgiving and Christmas this year, and I also want to remind everybody the SNAP pull-forward last year from Q1 into Q4 was about 70 basis points. So that will be a headwind in the Q4 time frame this year. As John indicated, I -- we believe we have adequately put all that into what we believe is our pretty strong guidance for the back half of the year. 
Michael Lasser: And, Todd, you were helpful to provide the number that you've reduced your exposure to China by 7%. Where does the total overall percent reside right now? 
Todd Vasos: Yes. It's no secret, right? I mean those moves have been in effect for -- or underway for many months now and in other parts of Southeast Asia, Mexico, another place that we've seen some success, so we continue to diversify country of origin. The great thing is we've had boots on the ground in Mexico, Vietnam, Cambodia and many other Southeast Asian countries, including India as well for many, many years, and so we're just leveraging that capability to an even greater -- a greater time right now with these tariffs and the uncertainty around those. 
Operator: The next question will come from Matthew Boss with JPMorgan. 
Matthew Boss: Congrats on a great quarter and nice execution. So, John, maybe on the gross margin. Can you help walk through the drivers behind the inflection back to the second quarter gross margin expansion? As we look ahead, what inning are we in today as we think about the gross margin opportunity related to DG Fresh and your nonconsumables initiative? And just any way to help size up the multiyear gross margin opportunity that may be tied to these initiatives, I think, would be really helpful. 
John Garratt: Well, thank you, Matthew. I'll start by saying we feel great about the balanced Q2 performance with the strong top line while enhancing our margin 13 basis points over last year. If you recall back, as we said we would, we continued to be more targeted in promotional activity, leveraging the tools we put in place to be more efficient on the spend to get more bang for the buck, as you saw, delivering strong comps and traffic while being more efficient with that spend. 
 We're also really excited about what we're seeing from the impact of new initiatives like DG Fresh and NCI. We're seeing the impact of that, and that will scale as we go on. We said in our prepared comments that we expect rate improvement in the second half to be roughly in line with Q2 compared on a year-over-year basis. And while there continues to be headwinds in our environment, we believe we have opportunities to increase margins over time. 
 As these initiatives scale, they'll be a bigger and bigger impact on our margin and we have a lot of other levers at our disposal. The team did a great job on category management. We see continued opportunity to increase foreign sourcing penetration. As we talked about in our prepared comments, there's a lot of exciting things going on with private label that can help increase that penetration. There's a lot of opportunities to increase supply chain efficiencies. The team did a great job last year mitigating the impact to that. We're in a more stable environment now, and there's a lot of leverage there. We have great support from our vendor community, and we just believe we're making the right investments to grow operating margin over the long term and believe we have a lot of other levers at our disposal that we've made great trade-offs over time. 
Matthew Boss: That's great. And then just a follow-up on the expense front, how best to think about SG&A dollar growth versus sales in the back half of the year. Maybe what's the efficiency opportunity you see from Fast Track? And any obstacles you see to returning to the 2.5% to 3% fixed cost hurdle as we move to next year? 
John Garratt: Yes. So there, too, we're very proud of the first half performance, both Q2 and first half. If you exclude the impact of the legal charge, we leveraged our SG&A while investing $19 million year-to-date at SG&A. As we mentioned in our prepared comments, we're accelerating the spend a little bit, $55 million this year versus the previous $50 million estimate, and that's really a reflection of accelerating investment in key strategic initiatives like DG Fresh and Fast Track. As we've said, there are some front-end pressure associated with that. There are some start-up costs that pressure SG&A, but we like to look more broadly at operating profit. And as you look at operating profit, we really believe that these initiatives, over time, will not just enhance sales but improve our operating profit over the long term. So we have to work through the start-up expenses. We said that as we go through the year that the expenditures against these initiatives will grow, and the majority of which is against DG Fresh and Fast Track. But we're also seeing the benefits of the scale as well, such that as we get into next year, we still expect these to be accretive as early as next year. 
Operator: The next question is from Simeon Gutman with Morgan Stanley. 
Simeon Gutman: So a little bit of a follow-up on the gross margin. In the prepared comments, you said it should -- Fresh could be accretive as early as next year. I wanted to ask what the gating factor is on the timing and the magnitude of that. 
Todd Vasos: As you look at DG Fresh, we are squarely focused on delivering and executing at a very high level. And I would tell you that we're very, very encouraged in what we see. We're getting the cost of goods savings we expected with the 3,500 initial stores that we've rolled out, and we still feel that it's going to be accretive as early as 2020. Again, we're already starting to see some of this. It was asked earlier what inning are you, and I would tell you we just got up to the plate, and I think we just hit a good solid double or triple in the first quarter of this DG Fresh rollout. So I think we got a lot more opportunity ahead of us, and it should benefit us both on the sales and gross margin lines as we move forward. 
Simeon Gutman: And I think the as early as 2020 comment, so it sounds like it's going well so far. I guess you need to do more -- a higher percentage of the chain. But if things continue to go as planned, it sounds like that's going to be the inflection point into next year as far as becoming gross margin accretive. Is that fair? 
Todd Vasos: I think that's the way to look at it. With 3,500 stores against our 16,000-or-so store base right now, it's the law of numbers. And we'll be up to 5,000 by the end of this year, and we don't see that slowing, as we've indicated. And so we believe that as we move into '20, it will definitely be accretive. 
Simeon Gutman: And just -- and I guess still sticking to gross margin, is the magnitude of the benefit you're seeing and the initial rollouts of it, is it -- how is it playing relative to your expectations? 
John Garratt: Yes. As we convert items, as we convert stores, it is right where we thought it would be in terms of the cost savings, that is substantial cost savings that, as we said, as we scale, that will be very impactful to helping our gross margin. 
Operator: The next question is from Rupesh Parikh with Oppenheimer. 
Rupesh Parikh: Also, congrats on a really strong quarter. So maybe to start out, I was just curious to get your thoughts, latest -- your latest views on the healthier consumer. And I was curious, as you look at some of your surveys that you do with your consumers, are tariff concerns are popping up at all in the conversation? 
Todd Vasos: Yes. I would tell you, as you know, Rupesh, we really talk to our consumers each and every quarter. And she is telling us about the same as we've -- that we've talked about before. She's still back to work, making a little bit more money, working more hours versus actual average hourly rate being up for her is really more productivity, more hours. And she is feeling a little bit more timid, just like we've seen in past -- in the past couple of quarters. But I would tell you that tariff has not really been -- she has not called that out, and she really hasn't called out a lot of headwinds yet from what she would think about as price increases or inflation. So she really hasn't been calling that out, at least up till now. 
 But we're really mindful that with List 4 getting ready to take effect across all retail that she still may see some of that. The great thing about this model is that we do good in good times and in bad times, right, or when she needs us more. And we stand ready, willing and able to deliver to her as she may need us a little bit more toward the back half and the early part of next year. 
Rupesh Parikh: Great. And then one follow-up question. We've been getting some questions just on some of the proposed SNAP changes out there. I was curious if you have any initial views towards those proposals. 
John Garratt: Yes. What I would say as a reminder that if you look at our SNAP sales tender as a percentage of the total, it's less than 5%. And if you look at the guidance we've provided, we've estimated what we think the impact of that would be, and that's all captured in the guidance. 
Operator: The next question is from Chris Prykull with Goldman Sachs. 
Christopher Prykull: I just wanted to ask a little bit about that nonconsumable initiative. It sounds like things are going pretty well there. Can you maybe just give a little bit more detail about the categories that you're seeing the most benefit in, the halo benefit that you mentioned? Can you quantify the incremental lift that you're seeing in the remodels where that initiative is being added? And then how many stores could you roll that out to in 2020 and beyond? 
Todd Vasos: Yes. We're very pleased with the early results. As we indicated, we'll have up to 2,400 stores up and running by the end of this year. We believe we can do many, many more, if not the entire chain eventually, the way this is starting to play out. We're very happy with the gross margin opportunities that are existing out of this. The stores that we have converted over already are seeing strong gross margin lifts for the entire store and sales lifts for the entire store, which is exactly what we thought would happen. So as we continue to scale this, it will continue to have a bigger and bigger impact on our total store, both margin and top line. 
 The great thing is we're into our fifth replenishment cycle already and are seeing great results from even now into our fifth replenishment. And that's from the consumer takeaway to how our stores and our operators have been able to manage a new muscle, if you will, in working no planogram but yet working the treasure hunt environment, and they've done a fabulous job with it. So we're really pleased with what we see. 
 And in my prepared remarks, I think you also remember hearing we've taken some of those learnings, not only items, but in some cases, full categories, and we have now flushed it through the other part of the chain, so upwards of 16,000 stores. So you're seeing strength, which was the other part of your question, in seasonal and in home, in domestics. Those are some of the areas that we're seeing some of the biggest increases. 
 We saw great increases in party and occasion. And when you think about party, it crosses everything from plates, cups, napkins, to balloons, helium balloons doing very, very well for us. So it's really across the board. 
Christopher Prykull: Great. That's helpful. And then as a follow-up. Any way to quantify the impact from your partnerships with FedEx or Western Union? Or maybe just some thoughts around the strategic rationale for doing those. Are your locations, on average, closer to customer households than FedEx or Western Union locations? 
John Garratt: This is John. Good question. What I'll say, while not material to 2019, we're very excited about the partnership. If you look at FedEx, we'll be starting out with 1,500 stores in Q3, scaling to 8,000 by the end of 2020. Western Union there, too, early stages there in all the stores. 
 What we really think this demonstrates is our ability to further leverage our unique footprint and provide services to underserved customers that others have difficulty getting to. And with service partnerships like this and there could be others, we believe we're helping drive traffic. They also can be effective income drivers to the business as well, so we're excited about what it does for the customer and how it can help our financials going forward. 
Operator: The next question is from Karen Short with Barclays. 
Karen Short: And I'll add my congratulations as well. Great quarter. I just want to ask on guidance. So when I look at your operating profit per square foot, the growth that you saw this quarter, I mean, it was the best growth rate in what I count is like 11 quarters. And it just seems that with respect to what drove it this quarter, a lot of those things are actually sustainable through the back half, and I know you pointed to some areas of conservatism. But maybe you could just parse that out a little bit because it does feel like full year guidance is being extremely conservative. 
John Garratt: Thanks, Karen. I'll start by saying we feel great about the business fundamentals and how we start out the year with strong top line and bottom line performance. And based on that raised our outlook, it's important to -- you remember that we did absorb additional tariff increases into our guidance while still raising it. So there's a lot of year left, but we feel comfortable with the guidance we provided. 
Karen Short: Okay. And then just a follow-up. You did call out higher shrink within the gross margin. Any color there, obviously, because EAS has benefited shrink over the last several quarters? 
John Garratt: As you pointed out, over the last 3 years, the team's done a great job significantly reducing shrink. But as we've said before, it's never a straight line to the top. We always look to balance shrink with in-stock, and obviously, this year, as we've said, really doing great work around improving our in-stock levels. But we continue to see shrink improvement over the long term. One of the biggest wins we've had lately is EAS. We opened -- we added 2,000 more EAS units in Q2. Based on the successful results we've seen from EAS, as we mentioned, we're expanding that. Rather than adding 3,000 this year, we're now going to add 6,000, finish out the chain, really just given the results we've seen from this. So we expect that to continue to help us reduce shrink over the long term and continue to see opportunity there. 
Karen Short: Okay. But nothing specific to point out this quarter? 
Todd Vasos: No. None. 
Operator: The next question is from Scott Mushkin with Wolfe Research. 
Scott Mushkin: I just wanted to ask a more strategic question of the team given the fact that all these initiatives are starting or will start to bear a lot of fruit. I'm just trying to understand where you think there's some levers. I mean if I look at Home Depot, they kind of keep their gross margins flat and reinvest pretty heavily to drive sales. I was wondering what your kind of thoughts are strategically that way. Can you use price as a lever? Do you speed up the Fresh? I mean what do you do with the -- as it looks like the profitability of the company is going to continue to accelerate. 
Todd Vasos: Again, we feel very good about the strategic initiatives in total, and we've always said we reserve the right at any time to continue to reinvest back into the company. But those of you that know us well, we don't do any of that without a solid return attached to any of those investments. And that's the strength of Dollar General is that and our execution level. 
 And I would tell you that we feel good about where we are today on the strategic initiatives we have out there. We have a plethora of them, as you know, but the great thing is we're executing at a high level across all of them. And many of them are aimed right at gross margin, and some of them are aimed right at the SG&A line to continue -- so that we can continue to grow our operating margins. And that's really what we're squarely focused on is operating margins. 
Scott Mushkin: And, Todd, so if you look at it and you look at kind of the modern DG stores that's evolving, I mean, it seems to really replace for a shopper or could replace a shopper, certainly many trips to the grocery stores but maybe even to the supercenters. And as a follow-up question to what I just asked you, I mean, do you see this as a vehicle to increase trips? And where do you think pricing plays in that as you look at the company over the next couple of years? 
Todd Vasos: Yes. If you look at where we are, our pricing is as solid as good as it's ever been against all classes of trade. So we feel very good about that, and we watch that each and every quarter. That is the cornerstone, if you will, of our value proposition here at Dollar General. We're squarely focused on serving that customer. We are a fill-in shop. We are not a full stock-up, a full shop or a big stock-up shop. But in saying that, we want to make sure that the value and convenient nature of Dollar General is enhanced at all times. And many of these initiatives go right against those type of items to make sure that, in fact, that convenient level is there for her. And we talk to our core customers each and every quarter, as I mentioned earlier, and she does tell us that she wants more products from us. And that's really what we're delivering and especially in rural America where options are very limited. 
 So if we can deliver a fresh offering that's strong and a Better For You offering, which we're doing in many of these stores, there's a healthy option for her as well in these communities. And if it means that she doesn't have to make another trip to a big-box store somewhere in the month, then I think it benefits her greatly. And that's how we sort of look at how we're building this Dollar General for the future. 
Operator: The next question is from Paul Trussell with Deutsche Bank. 
Paul Trussell: And great quarter. Just a few quick ones for me. One, with the higher-capacity coolers, does that involved in taking away any allocation of space from other categories and are utilizing that to actually add in some new and incremental SKUs versus just make sure you have increased availability of current items? And then on private label and private brands, certainly sounds like there's success there. Can you quantify at all or let us know to what extent your private brands are growing relative to national brands? 
Todd Vasos: Sure, Paul. Yes. So when you look at the higher-capacity coolers, again, as I stated earlier, we don't do anything here without a return against it and without testing and learning. That's the core strength of Dollar General. And these higher-capacity coolers are the exact same coolers that are in the DGTP stores, just not as quite as many doors. So it's the same coolers, the same exact ones. And so to answer your question specifically, we do lose a little hanging apparel when we go to remodel, relocate or put it in a new store with these higher-capacity coolers. But once again, as I've been stating for many quarters now, we continue to reduce our hanging apparel for better traffic-driving items across the chain. So this is just a continuation and an acceleration, quite frankly, of our ability to be able to do that. 
 It does give you both sides of the equation, to your point. It gives you higher capacity so that you're in-stock, especially on a lot of fast-moving goods, but it also gives you the opportunity for 25% more new items in these coolers versus the smaller, lower-capacity ones we had before. And that will increase sales. So both your in-stocks will increase sales, and the assortment will increase sales. Again, our core consumer is asking us for more products in our fresh, frozen and dairy and deli items, and that's exactly what we're going to deliver to her. So we're excited. This is -- this wasn't contemplated in our earlier rollout this year. But as we continue to see the success of our DGTP remodels, we thought it was the best use of our capital to go in and do those, and that's exactly what we're doing. 
 And then as it relates to private brands, we're very happy with all the work that the team has done around private brands in the last couple of quarters. They've been [ ready enough ] to be able to deliver to the customer an even enhanced value proposition there. Our Believe makeup line is doing phenomenal. It got so much buzz across social media, across CNN this past quarter and has driven a lot of additional traffic into our stores and again everything under $5. And so I would tell you that our private brands are growing at a very nice clip, and we only see that benefiting our core consumer even greater as time goes on. And we continue to relaunch things like Gentle Steps that I talked about in our baby line. 
 So more to come there. I believe that we're in the early innings of what Dollar General can do with private brands in totality. We're really, really happy with what we see. And quite frankly, a lot of integration in our signing, in our advertising also helps. So when the consumer gets to the store, she sees a consistent message, and she understands that message. 
Paul Trussell: And then, lastly, for me, just on the [ Pickup ] pilot, can you just tell us how you're going to approach that? 
Todd Vasos: Yes. We're going to go slow here. We want to make sure that the consumer resonates with that. So remember, our average basket size is $12 or less, 5 items or less, on average. So it's a little bit different shop than what you would find in a big-box retailer. And so buy online, pick up in store will be no different. It will be a different shop. But what we believe we can do is offer her another leg of convenience so that she can come to the store, pick up what she needs, probably add an item or 2 to her online pickup and then be able to get out very, very quickly. And so we're going to test it. We're going to go slow here. We're going to test it in the back half of the year. And as I indicated last quarter, we believe that the customer will resonate with this, but we'll have to wait and see. 
 But again, I think it's important to note here that we're not going to sit back and wait for the customer to already be there. We're going to meet her, our core customer, where we believe she's going to be. And having this ready and ready to roll out in a large-scale way, somewhere down the line, I think, is the exact right thing to do, no different than e-commerce for us. We've had an e-commerce site up and running for the better part of 7 years now. And when our core consumer is ready to buy more online, all we have to do is turn the dial up there, and that will be no different than buy online, pick up in the store. 
Operator: The final question is from Robby Ohmes with Bank of America. 
Robert Ohmes: Todd, I know we've seen in our price studies how well you guys are doing in pricing, and you got all these great initiatives. Just could you speak to us about the competitive environment? Has anything changed? Are you seeing regional grocers raise prices which we think we've seen in some cases? Have you seen store closings, smaller players that were not able to track go out of business? Any kind of color on that would be fantastic. 
Todd Vasos: Yes. Sure, Robby. We -- I would tell you that, again, we are -- as well positioned on price against all classes of trade than we've been in the 10, almost 11 years that I've been here at Dollar General. And it is the cornerstone of that value, convenience proposition to our customer. And in saying that, we really haven't seen too much of a difference broadly on pricing, whether it be every day or promotional. It's been fairly tame out there. But in saying that, we continue to work the price levers to make sure that we're right priced in every DMA that we serve out there across the country. And as you look, with our scale getting larger and larger each and every year and our ability to keep prices low because of our limited SKU assortment that we have, we continue to be very well priced. And that's exactly what our consumers are looking for. And that's why we know that either in good times or bad, those consumers are going to come flocking in to see Dollar General. 
 And the last thing I would say is that our fastest-growing segment still is the consumer making over $50,000 a year. That's the fastest-growing segment we have, and I think that really speaks to every consumer is looking for value and is looking for convenience. And I believe that all the work we're doing inside of our box to transform it into an all-around shop is really resonating with the customer. 
Operator: Ladies and gentlemen, thank you for participating in today's conference call. You may now disconnect.